Operator: Hello, and welcome to The Greenbrier Companies First Quarter of Fiscal 2024 Earnings Conference Call. Following today's presentation, we will conduct a question-and-answer session. Each analyst should limit themselves to one question with a follow-up if needed. Until that time, all lines will be in a listen-only mode. At the request of The Greenbrier Companies, this conference call is being recorded for replay purposes. At this time, I would like to turn the conference over to Mr. Justin Roberts, Vice President and Treasurer. Mr. Roberts, you may begin.
Justin Roberts: Thank you, Andrea. Good morning and Happy New Year to everyone. Welcome to our call today for our fiscal first quarter. Today I'm joined on the call by Lorie Tekorius, Greenbrier's CEO and President; Brian Comstock, Executive Vice President and Chief Commercial and Leasing Officer; and Adrian Downes, Senior Vice President and CFO. Following our update on Greenbrier's performance in Q1 and an update on our outlook for the remainder of fiscal ‘24, we will open up the call for questions. In addition to the press release issued this morning, additional financial information and key metrics can be found in a slide presentation posted today on the IR section of our website. Matters discussed on today's conference call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Throughout our discussion today, we will describe some of the important factors that could cause Greenbrier's actual results in 2024 and beyond to differ materially from those expressed in any forward-looking statement made by or on behalf of Greenbrier. And as a reminder, I'd like to invite you to join us for our Annual Shareholder Meeting today at 12:00 PM Pacific, 3:00 PM Eastern. A link is available on our website and we'll go live about 15 minutes before the call. With that, I am going to hand it over to Lorie.
Lorie Tekorius: Thank you, Justin, and good morning, everyone, and Happy New Year. I hope everyone had a great and safe holiday season. And while Monday marked the start of a new calendar year, we're entering the fifth month of our fiscal year, and with the first quarter in the books, our fiscal 2024 is off to a great start as we continue to execute our strategy. Our financial performance indicates early progress as we execute Greenbrier's multi-year Better Together strategy. Three fundamental priorities drive this strategy. First, we will maintain our manufacturing leadership position across geographies. The second priority ensures we meet our customers' needs while optimizing our industrial footprint for efficiency and margin enhancement. Third and equally important we're pursuing disciplined growth in leasing and services. We remain committed to enhancing our manufacturing performance, while growing recurring revenue and generating tax-efficient cash flows through investments in the lease fleet. The detailed work of facility rationalizations in manufacturing and maintenance services that began in fiscal 2023 continues. We will transform to be simpler and more profitable. Aggregate gross margins and gross margins in our manufacturing segment, specifically this quarter reflect the strategic push. And while I'm sure everyone on today's call understands this, I think it bears repeating that we do not expect progress on our strategic initiatives to be linear. In some cases, we're ahead of our internal schedules, and others, we're laying the foundation to execute the plan. Our goals target a multi-year completion window and there will be ups and downs, but I'm pleased with our performance at this early stage. Turning to our results. We generated over $800 million in revenue and aggregate gross margins of 15%, an increase of 250 basis points. This aligns with our target to achieve aggregate gross margins in the mid-teens by fiscal 2026. One quarter of mid-teen margins is an excellent start, but it would be premature to declare the mission accomplished on our multi-year strategy. First quarter manufacturing gross margin of 11.1% is an increase of 180 basis points, compared with the prior quarter. As we previously disclosed, the sale of our Gunderson Marine operation and our Texas foundry have resulted in permanent cost savings of approximately $20 million per year. Our insourcing initiatives to bring fabrication in-house for basic primary parts and subassemblies as part of our make-versus-buy strategy is proceeding on schedule. We expect to achieve our total cost savings targets of $50 million to $55 million from this initiative in fiscal 2025. Moving across the business, maintenance services continued its positive momentum even though wheel volumes were seasonally lower heading into winter. On a solid revenue base, gross margin remained strong at 14.6%. Several initiatives are underway to continue to enhance this unit's efficiency by improving car flow, material planning, and cycle times at all of our facilities. And then as Brian will explain shortly, our expanded leasing strategy is gaining traction. This is a critical component of our multi-year plan and is expected to result in the doubling of recurring revenues within the next five years. The market conditions for railcar leasing remained positive, allowing us to generate compensatory lease originations and renew leases at higher rates. As we continue to grow the lease fleet and work towards achieving our recurring revenue targets, we remain disciplined and focused on building a high-quality balanced portfolio. Our Q1 performance maintains the health of our balance sheet, allowing us to invest in our business, while continuing to return capital to shareholders. This has been our long-standing and preferred approach to capital allocation. I am pleased to report that our Board declared a quarterly dividend of $0.30 per share this week representing Greenbrier's 39th consecutive quarterly dividend. The broader economy is dynamic and geopolitical strife again commands our attention and concern. For instance, we’re closely monitoring conditions at the Southern U.S. border. While the work performed by our skilled manufacturing and logistics colleagues so far has successfully avoided severe impacts to Greenbrier, the current migration response is unsustainable. We have joined many including railroad leaders, shippers and even our competitors to draw government attention to this situation. Collectively, we will ensure policymakers hear our concerns and address impediments to commercial activity and trades at our Southern border. Meanwhile, the economy in both North America and Europe is showing signs of resilience and our outlook remains positive. We expect North America and Europe to continue to see stable demand across railcar types, underpinning both new builds and lease renewals. We have excellent near-term visibility for fiscal 2024 and are focused on maximizing our platform's potential as we successfully pursue our multi-year targets. We're confident in the long-term strategy because it focuses on what we can control and does not rely on an optimistic or aspirational demand scenario. I look forward to sharing our progress on future calls. And now over to you, Brian.
Brian Comstock: Thanks, Lorie. During Q1, Greenbrier secured new railcar orders of 5,100 units worth nearly $710 million. Of these orders, approximately 20% derived from lease originations. Orders continue to be broad-based and diverse across most railcar types except for intermodal where market conditions have been soft, but are improving and may provide some upside in future quarters. As of November 30, Greenbrier's global new railcar backlog was 29,700 units, valued at $3.8 billion. Backlog continues to be strong and stable, providing significant revenue visibility into 2025. As a reminder, backlog excludes programmatic refurbishment and re-qualification work, which will produce meaningful revenue during the fiscal year. Our commercial performance reflects our leading market position, strong lease origination capabilities, and direct sales experience. International orders accounted for 30% of activity in the quarter, reflecting the continuing momentum in Europe and ongoing strength in Brazil. We have been performing well in Europe and our backlog remains healthy, thanks to our broad product portfolio. Our leasing platform is now fully operational in Europe, and our ability to originate and syndicate leases has been critical to the improved performance of our European manufacturing business. We're excited about our opportunity in Europe where the rail industry enjoys strong secular tailwinds, and we expect Europe to increasingly become a meaningful contributor to our profitability. Likewise, Lorie and I recently visited our Greenbrier-Maxion joint venture in Brazil. While unit volumes in South America will always be lower than North America and Europe, recent stabilization in the rail sector there promises a steady stream of business activity in months to come. Leasing and Management Services also performed well in the quarter. We are steadily advancing on our stated goal of doubling recurring revenue from Leasing and Management Services. Recurring revenue is growing from various sources, including new railcars added to our lease fleet and lease renewals at more favorable terms. We grew our lease fleet from about 700 units, or 5.2% during the quarter as we fulfill our commitment towards disciplined fleet investment of up to $300 million per year on a net basis. As we've made this investment during the next few years to expand recurring revenue, we are focused on railcar types that keep our fleet profile balanced and reduce concentration risk. I want to emphasize that we will only invest in the right assets with the right lease terms and counterparties. We take this capital deployment very seriously. We will not chase an arbitrary fleet size or value if the underlying assets do not meet our required internal rates of return. Our discerning approach to fleet composition resulted in a AA credit rating for our most recent ABS offering completed in November. We understand these are the highest ratings ever received in the railcar ABS space. We issued an aggregate principal amount of $178.5 million in notes with a blended interest rate of 6.5% and a 2.5 year call feature. The call feature gives us forward flexibility to respond to lower interest rate environment. Our average interest rate of 4.4% on our non-recourse leasing debt is significantly lower than current market interest rates. We continue to evaluate our financing strategies as we grow our lease fleet to achieve the goal of more than doubling recurring revenue in the next five years. At the end of Q1, our fleet leverage was 80%. We leverage railcar assets at an appraised fair market value, which results in borrowing ratios that are higher on a net book value basis. Our lease renewal rates continue to grow at double-digits and we successfully extended lease terms, while maintaining a consistently high fleet utilization of 98% in Q1. The leasing market remains robust characterized by a shortage of the in-demand railcar types and high fleet utilization among lessors. Moving in sequence with higher interest rates, our lease rates remained compensatory, resulting in elevated rates for both new originations and renewals. We have strategically staggered lease durations to lessen the impact of cyclicality and create opportunities for favorable renewals. In Q1, we syndicated a total of 1,300 railcars in transactions with a variety of investors, generating strong liquidity and margins. The syndication market remains liquid and has a strong appetite for the asset class as we are confident in our team in our offering both in North America and Europe. Fundamentally the backdrop for the North American railcar market remains solid. We expect railcar deliveries to be around industry replacement levels for the next few years with retirements keeping pace. The supply of available railcars is still near trough levels, which has led to strong lease rate growth, renewals and term length. We are confident we have the right strategy in place to execute our plan in this environment successfully. Now, I'll hand the call over to Adrian who will speak through the financial highlights for the quarter.
Adrian Downes: Thank you, Brian. Good morning, everyone, and Happy New Year to you all. Before moving into the highlights of the quarter, I would like to remind everyone that quarterly financial information is available in the press release and supplemental slides on our website. As highlighted by Lori and Brian, Greenbrier's Q1 performance was strong across all operating segments. The quarter was marked by improved profitability due to the sequential increase in aggregate gross margin percent and operating margin. After covering some of the highlights from the quarter, I'll also affirm our fiscal year 2024 revenue and deliveries guidance and provide an update to our gross margin and capital expenditure guidance. Notable highlights for the first quarter include broad-based new railcar orders of 5,100 units, valued at nearly $710 million with an average selling price of approximately $139,000 per unit. This does not include a few 1,000 orders in the quarter related to programmatic railcar refurbishment, re-qualifications or re-certifications. Deliveries of 5,700 units include 500 units from our unconsolidated joint venture in Brazil. Consolidated revenue in the first quarter was $809 million, representing a new first quarter record going back to Q1 of 2016. Aggregate gross margins increased by 250 basis points to 15% and have consistently increased over the past five quarters. The margin enhancement can be attributed to a broad-based improvement across all segments, including improved operating efficiencies, market conditions and syndication activity. Selling and administrative expenses of approximately $56 million declined sequentially primarily due to lower employee-related costs. Quarterly tax rate of 24% was lower than the fourth quarter and benefited from net favorable adjustments related to our foreign subsidiaries. Net earnings attributable to Greenbrier of $31 million generated diluted EPS of $0.96 per share. And finally, adjusted EBITDA for the quarter was $93 million, or 11.5% of revenue. Greenbrier's Q1 liquidity remained solid at $663 million, consisting of cash of $307 million and available borrowings of $356 million, which we believe to be an ample level as we conduct our day-to-day operations. Although our cash flow from operations reflected cash usage of approximately $45 million, our cash balance increased by nearly $20 million in the quarter. The increase was primarily attributed to proceeds from the issuance of debt net of repayments. Greenbrier's balance sheet continues to be strong and we will remain prudent with how we manage our capital structure and balance sheet. To make it easier to discern between recourse and non-recourse debt, we are now providing a breakout between the two in the footnotes section of our 10-Q under notes payable and revolving notes. In February, we will retire the remaining portion of our senior convertible notes issued in 2017 of approximately $48 million. This is expected to be retired using cash. As Brian mentioned in his commentary, we successfully issued our second ABS offering with a AA credit rating. As a reminder, leasing debt is non-recourse to Greenbrier, and we expect this to fuel the growth of our lease fleet over the next few years. We are focused on reducing and retiring our recourse debt as cash flows improve. Highlighted in Lorie's commentary, Greenbrier's Board of Directors declared a dividend of $0.30 per share. Based on yesterday's closing price, our annual dividend yield represents -- is approximately 2.7%. Additionally, we repurchased nearly 38,000 shares for just over $1 million in the quarter, leaving $45 million remaining of authorization under the current share repurchase program, which extends through January of 2025. Including activity from the first quarter, Greenbrier has returned over $500 million of capital to shareholders through dividends and share repurchases, something our Board and management team remain committed to. We believe this is a great way to create long-term shareholder value and we will continue to periodically evaluate increases to our quarterly dividend and we'll opportunistically repurchase shares. Turning to our guidance and business outlook, and based on current trends and production schedules, we are affirming Greenbrier’s fiscal 2024 revenue and delivery guidance, but updating our gross margin and capital expenditure guidance. Our guidance includes deliveries of 22,500 to 25,000 units, which includes approximately 1,000 units from Greenbrier-Maxion in Brazil. Revenues between $3.4 billion and $3.7 billion, selling and administrative expense is expected to be approximately $220 million to $230 million. Capital expenditure has been updated. Gross investment of approximately $350 million in Leasing and Management Services includes fiscal 2024 capital expenditures and transfers of railcars into the lease fleet which were produced and held on the balance sheet in 2023. Proceeds of equipment sales are expected to be approximately $85 million, and capital expenditures in our manufacturing segment are expected to be around $165 million, which is primarily for our insourcing initiatives, followed by $15 million and the maintenance Services segment. We are raising our aggregate gross margin percent outlook and now expect full-year consolidated gross margin percent to increase to the low to mid-teens. I'm very pleased with the performance of our first quarter results. Our outlook for fiscal 2024 is positive with earnings expected to grow. And now we will open it up for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Justin Long of Stephens. Please go ahead.
Justin Long: Thanks and good morning. So maybe to start with the question on manufacturing gross margin. It was encouraging to see the sequential improvement, but I was wondering if you could share any thoughts about where we go from here sequentially over the remainder of the year. And you addressed Eagle Pass for a moment earlier, but any thoughts on the potential impact we could see from the activity across the border here in the fiscal second quarter?
Lorie Tekorius: Thank you for those questions, Justin. We don't give quarter-by-quarter margin guidance. As I said in the prepared remarks, I'm very pleased with the results that we had in our first quarter, and I know that the team is working to continue to build on those results. I have been in this business for too long to ever be able to predict that it'll always be linear. We have puts and starts and certainly, our fiscal second quarter, which incorporates the holidays and takes a couple of weeks out of our typical production activities. So that can be a little bit of a difficulty or a little bit of a challenge, but like I said the team is working very hard to build on the achievements in the first quarter. Talking about the border, while we have been successful in not having a material impact to our deliveries, I would say that is absolutely because of the men and women that we have working in our manufacturing and logistics operations, who are in constant conversations with the railroads that are picking things up thinking about alternatives, making certain that we get our products positioned appropriately. And it's not just the outbound side of our produced railcars. It's the inventory coming in. So I am really pleased to see how others in our industry, as well as broader beyond the rail freight industry are really putting the pressure on our elected officials to figure out a way to deal with this crisis at the border as opposed to just shutting it down without any notice and not really giving good feedback as to when it might open or how it -- what it's going to take. If there were to be a prolonged shutdown, it certainly does take time to get everything moving again, whether it's out of the United States and into Mexico or vice versa. So it's just, it's going to depend on any future shutdowns, how long they are as to what that impact might be. But I'm going to take again this opportunity to publicly thank the men and women that are working in our procurement and our logistics areas for the hard work that they're doing to keep our products flowing.
Justin Long: Okay, great. And maybe to follow-up on the margin question. Adrian, you said you're now expecting the consolidated gross margin to be in the low to mid-teens for the full-year, as the first quarter was 15%, right, right, at the midpoint of mid-teens. So that kind of implies that we're going to be flat to down sequentially from here. But when I listen to the commentary, it sounds like you are positive that there is the opportunity for some self-help margin improvement going forward. So is there a headwind that we should be mindful of that could offset some of that, whether it's mix or something else?
Justin Roberts: I think we do have some mix. Sorry, this is Justin. I'll jump in briefly. I think we do have a little bit of a mix in Q2, but ultimately, we are seeing a positive trend on margin through the rest of the year. That's why we did increase our full-year guidance and we do have very good visibility and a lot of this is -- this is a year of execution of blocking and tackling. So I think part of this is we are bullish on our performance, bullish on our margins and -- but also I guess, I would say, if we came out and said, we're going to be at 20% margins for the rest of the year, you guys might not necessarily buy that. So we're trying to find a path that makes sense without necessarily creating too much of a -- leading with our gen effectively.
Lorie Tekorius: Yes, balanced expectations as opposed to being overly aggressive or overly conservative.
Justin Roberts: It's a much better way to say it.
Lorie Tekorius: You're welcome.
Justin Long: Got it. Thanks so much for the time. Congrats on the quarter.
Justin Roberts: Thank you.
Operator: The next question comes from Matt Elkott of TD Cowen. Please go ahead.
Matt Elkott: Good morning. Thank you. Given the strong performance in the first quarter, do you guys still see the cadence as being 45% in the first-half, 55% in the second?
Lorie Tekorius: Yes. I think that it's very close to 50%-50%, but I think 45%-55% is still a good split.
Matt Elkott: Okay, good to know. And then Lorie maybe if you can give us some more insight on the orders in the quarter or Brian, the types of cars, the types of customers, lessors versus shippers, and did it include any large multi-year contracts by lessors and also the inquiry and order activity post quarter end?
Brian Comstock: Yes. No, thanks, Matt. It's Brian. The order book continues to be extremely diverse. There is a number of covered hopper cars, metal cars -- client cars, gondolas, auto. It's really very broad-based. There are no multi-year orders in our -- really in our backlog to speak of and -- so truly is shippers that have slots that we are going to deliver to. As far as the leasing origination mix, it's about 20%.
Matt Elkott: And how was post-quarter earnings activity or order activity?
Brian Comstock: Very good. Yes, stronger than normal. Usually you have a -- quite a bit of a quiet cycle during the holidays and quite frankly, we're off to a pretty good start in Q2 as well.
Matt Elkott: No, that's good to hear. And then the ASP of the orders went up pretty nicely, I think 12% or so if you compare this quarter to the last quarter. Can you talk about that?
Brian Comstock: Well, that’s a mix, honestly, that's really what drives it.
Matt Elkott: Okay, great. Thank you very much. Really appreciate it.
Brian Comstock: Thanks, Matt.
Lorie Tekorius: Thanks, Matt.
Operator: The next question comes from Ken Hoexter of Bank of America. Please go ahead.
Unidentified Analyst: Hi, this is [Nathan] (ph) dialing in for Ken. And congrats on the quarter. I guess I'd like to just maybe start a little bit on Adrian's comment about that continued strength in the syndication market, and how the team is seeing that opportunity trend here into the second quarter, and also maybe what you're assuming in terms of syndication activity for the rest of the year when you're talking about low-to-mid teens margin target.
Justin Roberts: I was going to say. So I think thinking about the syndication market, it continues to be strong. We continue to take leases -- originate leases. We continue to have liquidity in the market and work with our syndication partners. We see a relatively stable cadence throughout this year kind of quarter to quarter to quarter, and I'm just pleased that we're continuing to deepen the relationships with these partners that we've worked with over the last several years. And what was your second question, Nathan?
Unidentified Analyst: Yes. Just what you're assuming in terms of -- I think you just answered that -- what you're assuming regarding syndication in that low-to-mid teens margin target, and would I be right in assuming that's going to be an equal cadence over the year?
Justin Roberts: Well, what I would say right now is we do see it being relatively stable throughout the rest of the year and it's -- you know, things change and that's the biggest thing is we will continue to make decisions that benefit the business and ultimately our customers and shareholders. And sometimes that may mean things move around a little bit, but you're getting our latest greatest snapshot.
Unidentified Analyst: Got it. Thanks, Justin. And maybe just a quick follow-up on the cash return side of the equation. I understand that the team has some pretty ambitious targets regarding lowering leverage as well as a capital plan. And maybe just could you kind of remind us again on what the cash priorities would be and when you're thinking about investing to release fleets leverage target and shareholder returns?
Justin Roberts: Yes. So we're going to start with the basics of we are investing in our manufacturing business and maintenance business with insourcing initiatives and other activities and maintenance. We are continuing to invest in Europe as well, and then you have our leasing business, which is a large number from an optics perspective, but again, bear in mind that we do lever it. And so it's a much smaller equity piece. And then you think about safeguarding our dividend. We do look at periodic increases to that. We did increase it last July. So it is not on or off the table explicitly, but we do look at that pretty consistently. And then I would say that we do look at share repurchases opportunistically, given the ongoing volatility in our share price and kind of what we see going forward. I think growth in the business is not necessarily off the table. It's just that we are focusing on making the most of the current platform we have before we kind of move back into some type of an expansion mode. And I don't know if...
Lorie Tekorius: One, I would say the one thing that I'd emphasize at least on the investments that we're making, particularly in manufacturing here in North America is those are generating, we expect a return of $50 million to $55 million on an annual savings.
Justin Roberts: Moderate, yes. Yes.
Lorie Tekorius: So I think that's a pretty darn nice return.
Adrian Downes: And then we're also focused on reducing our recourse dash.
Justin Roberts: Thank you. That’s perfect, yes.
Unidentified Analyst: Great. Thank you so much.
Brian Comstock: Thanks, Nathan.
Operator: The next question comes from Allison Poliniak of Wells Fargo. Please go ahead.
Allison Poliniak: Hi, good morning. I want to get your thoughts on the latest storage data. I know one month doesn't make a trend, but we did start to see some cars moving back into storage a little bit more than seasonality. Are those just specific car types that you were less worried about? Are you not seeing the orders? Or just any, how you're thinking about that number?
Brian Comstock: Yes. Allison, this is Brian. A lot of that is seasonal when you start to look at some of the trends. And also keep in mind that as the plastic pellet car fleet expands, a lot of those cars are storage vessels that are used for the product. And as that grows, the ARCI continues to count those stored vessels that they're beyond 30 days. So a lot of that number is a little bit skewed by that as well. But it's really seasonality and the influx of pellet cars is driving that number artificially up a little bit.
Allison Poliniak: That's helpful. Thank you. And then can you maybe talk about the absolute lease trends? I know the lease trends, the renewal rates are certainly high. But is, are you seeing some stability there? Is it the lease rate, absolutely lease rates still going up in specific car type? Just any color around that?
Brian Comstock: Yes. We're still seeing lease rates continuing to go up fairly sizably. A lot of our lease renewals. Keep in mind, some of those leases were done a couple of years ago, and so they're catching up to today's rates. But we are still seeing deep into the 20%, 25% increases on cars across the board. As far as if you were to look at point-to-point, maybe the last few months, we're continuing to see increases even on some of those as well. So the trajectory is still, lease rates are still appreciating.
Allison Poliniak: Great. Thank you.
Operator: The next question comes from Bascome Majors of Susquehanna. Please go ahead.
Bascome Majors: To follow up on the leasing question. Can you talk a little bit more about the secondary market. How you feel about valuation? And any comments on the depth and types of buyers that you're seeing? Whether or not you're participating in the deals? Thank you.
Brian Comstock: So we are participating on a very selective basis in the secondary market. We believe that a lot of the portfolios are overvalued, continue to be overvalued. So we're very selective in which transactions that we engage in. And we continue to see a lot of transactions in the marketplace. So there's still a lot of trading going on. But yes, we're being very, very selective Bascome in that arena.
Lorie Tekorius: And I would say one of the nice things about this being such a broad-based demand market right now is with the deals that we're originating that we can build, we've got that diversity that we don't -- we're going to pay attention to what's going on in the secondary market, but it's got to be the right pricing for us to participate.
Brian Comstock: Yes.
Bascome Majors: Can you talk a little bit about the CapEx reduction in maintenance and whether that's deferral or a change in some of the views on investment there?
Lorie Tekorius: I think it's just timing, the timing of actual, and some of it is reviewing where do we need to make the investments and other is just the timing of when is. Sometimes when we go into the beginning of a fiscal year, we are bright-eyed and bushy-tailed, and we think we can get 101 things done in 20 minutes, but then sometimes reality sits in a little bit.
Bascome Majors: And lastly, you have one of, the remaining piece on one of your convertibles is due pretty soon here. Can you talk about your intent on the balance sheet. Will you use convertibles in the future? Should we expect you to shift more and more to a secured funding model given the success you've had there? Thank you.
Adrian Downes: I would say as for leasing, we will continue to look at our options as they present themselves and as we need funding sources to continue to grow the portfolio. In terms of our recourse debt, our focus right now is repaying. Again, whenever we would look to refinance, we would look at our options, I would say for me personally, you know, the convertible market has been a good one for us over the years. We do have this stuff coming up shortly that we're expecting to repay in cash. So I don't know if that gives you enough color.
Bascome Majors: I mean, do you feel like you need more recourse funding to take care of your capital and buyback needs? Or do you think that's something we just pay down and wait to have more opportunistic need for capital there?
Lorie Tekorius: I think it will wait. I mean, I think we're going to pay down this convert and the focus is on reducing some of the recourse debt. The non-recourse will adjust depending on our investments in the lease fleet. And then if there's an opportunity that comes up that needs to be...
Brian Comstock: Specific transaction or something. We'll deal with that once we come across that.
Adrian Downes: Yes. I mean we've got a very nice ladder of maturities. If you go through our various outstanding debt facilities.
Bascome Majors: Thank you for the time.
Brian Comstock: Thanks, Bascome.
Lorie Tekorius: Thanks, Bascome.
Operator: The next question comes from Steve Barger of KeyBank Capital Markets. Please go ahead.
Steve Barger: Thanks. Good morning. Thanks. Good morning. I know you want to avoid the quarterly margin walk, but the press release did mention improved operating efficiency as the manufacturing gross margin driver. What efficiencies specifically were the swing factor? And I'm trying to just get to was the increase driven more by mix or one-offs or some more durable factors?
Justin Roberts: I would say no one-offs. This is a combination of good mix. This is the combination of continuing the momentum that we saw primarily the last six months of last fiscal year. And also part of that is we did rationalize some of our capacity in North America. And so we're seeing some of that flow through. And we are starting to see some of the benefits of the in-sourcing initiative and in Mexico as well. So it's a combination of factors that falls under operating efficiencies, but we do not expect really any of these to go away necessarily.
Steve Barger: Understood. And when you say the rationalization, that's the $15 million to $20 million that you're getting from the Marine and the Foundry sale?
Justin Roberts: Correct. I think, Lorie spoke to, but we've kind of landed on about $19 million to $20 million of realized savings is what we expect going forward.
Steve Barger: Got it. And I know backlog excludes the rebuild and refurbishment activity. But how much revenue do you have line of sight to there? Is that tens of millions or hundreds of millions? Can you frame that?
Brian Comstock: Yes. It's Brian, Steve. It's tens of millions. We've, we've in Q1, there were several thousand cars that we acquired. The ASP on those are probably about half of what a new car would be just from a high-level perspective, but the margin percentages are much stronger.
Steve Barger: Yes. So that's part of that mix benefit?
Brian Comstock: Correct.
Steve Barger: And then, and Brian, really great to hear you talk about the disciplined approach to leasing deals. As I think about the 6.5% ABS for the leasing business, what hurdle rate or weighted average cost of capital are you using in your assumption to vet deals and make decisions?
Brian Comstock: So we're using a kind of a cost of capital that is probably around kind of 9% to 10% for these activities. And so it's one of those where, as our cost of debt has been increasing over the last -- as everybody's cost of debt has been increasing. We are seeing a compensatory increase in our lease rates to make sure that we're having this flow through appropriately and that we are generating the returns that we expected to when we first took this trip two years ago, two to three years ago.
Steve Barger: Yes. Okay, and one quick one, final one. Which of your business units have the most open capacity? And I'm just trying to think about where we could see better asset utilization or operating leverage across the portfolio?
Brian Comstock: I would say probably, ironically, Brazil has the most open space in our fiscal year at this point. And that's hundreds of units, not thousands. Well, it's 100s. Otherwise, we do have a little bit of open space in July and August. And then at that point, I really see this as a year of execution, and we're in a very good shape to be able to control our own destiny.
Lorie Tekorius: And I would say the other thing that we're doing, I believe, a very nice job on is being disciplined. So not only are we being disciplined in how we think about the investments we're making in the lease fleet on our balance sheet, but we're also being disciplined in our production rates and really thinking through how the ramping up or having to slow down impacts manufacturing efficiency and to the extent that our product portfolio, our strong commercial activities can keep that activity balanced. We're very happy to just continue having that balance move throughout the organization.
Steve Barger: Very good. Thanks.
Brian Comstock: Thank you, Steve
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Lorie Tekorius: Happy New Year, again everyone. Thank you for participating in our call today. As Justin mentioned at the top of the call, we do have our Annual Shareholder Meeting at noon Pacific 3:00 p.m. Eastern time today. So please join in. And if you are a shareholder and you haven't voted, please vote. We look forward to talking to you in the coming months.
Justin Roberts: Thanks, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation, and you may now disconnect.